Operator: Good morning, ladies and gentlemen, and welcome to Modine Manufacturing Company’s Fourth Quarter Fiscal 2020 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Kathy Powers, Vice President, Treasurer, Investor Relations and Tax.
Kathy Powers: Good morning and thank you for joining our conference call to discuss Modine’s fourth quarter and full year fiscal 2020 results. I am here with Modine’s President and CEO, Tom Burke; and Mick Lucareli, our Vice President Finance and Chief Financial Officer. We will be using slides for today’s presentation, which can be accessed either through the webcast link or by accessing the PDF file posted on the Investor Relations section of our website, modine.com. On Slide 2 is our notice regarding forward-looking statements. This call may contain forward-looking statements as outlined in our earnings release as well as in our company’s filings with the Securities and Exchange Commission. With that, it is my pleasure to turn the call over to Tom Burke.
Tom Burke: Thank you Kathy, and good morning everyone. First, I’d like to start by extending my well wishes to everyone and I hope you have all remained safe and healthy during the crisis. World’s a vastly different place since Modine reported its third quarter earnings in early February. Fiscal 2020 was a very challenging year for Modine, but we ended on a positive note with Q4 results coming in ahead of our expectations. Our main focus during this period of uncertainty was the protection of our employees, customers, and shareholders. I’d also like to highlight the press release that we issued last week regarding the amendments to our credit facilities. This was a key proactive measure we took as a part of our COVID-19 plan. Mick will summarize those details during his report. Today on this call, Mick and I will provide an overview of fourth quarter and full year results for fiscal 2020, and update on the status of our automotive exit and sale process; a segment update, including challenges and opportunities resulting from the pandemic and current market environment; a description of the actions we are taking to protect our employees and the business in response to the current economic environment in the global crisis. And finally, a brief overview of the state of our markets and expectations for the next few months. Let’s start with the actions we’ve taken so far to protect our people and facilities. As you all know, the COVID-19 crisis began early in our fiscal fourth quarter in China, and then moved into Europe and then the Americas. We have implemented the necessary steps to mitigate the risk in our manufacturing locations and administrative offices worldwide. We have remained in compliance with health organization and governmental orders in countries where we operate. This led to a number of our locations being temporarily closed either due to government mandate or a significant drop in customer demand. All of our locations are now open, but many are operating at reduced capacity. We’ve also taken many actions to reduce cost and preserve liquidity in light of these economic conditions, and in response to an expected further decrease in revenues in fiscal 2021.We have reduced employee and executive salaries by 10% to 20% and implemented furloughs and short work weeks where possible, cut production schedules in line with customer demand resulting in a temporary layoff of many manufacturing employees, reduced planned capital expenditures by approximately 25%, and reduced Board of Director cash compensation by 20% for this fiscal year. Throughout this crisis, our top priority has been the health and safety of our employees, their families, and our communities. In addition, we are laser focused on maintaining adequate liquidity and continuing to serve our customers without disruption. Next, let’s cover our fourth quarter and full year fiscal 2020 results. Please turn to Page 4. Our fourth quarter earnings were ahead of our expectations despite early COVID-19 impacts. Fourth quarter sales of $473 million were down 15% from the prior year. For the full year, we reported sales just below $2 billion, down 11% from the prior year. Revenues this year were impacted by market weakness in our VTS segment and lower data center sales in our CIS segment. During the fourth quarter, we also felt the impact of COVID related plant closures in China in the February timeframe in Europe and North America in March. Offsetting this was a strong performance by building HVAC segment where full year sales increased 4% from the prior year. We reported $25 million of adjusted operating income in the fourth quarter and $97 million for the full year. We had a strong conversion in the fourth quarter due to the cost saving actions taken earlier in the year in response to the market downturn. Before diving into our quarterly segment results, I would like to provide an update on our automotive exit strategy. As a reminder, we will begin reporting the automotive business as a separate segment in our first quarter fiscal 2021 results. We have spent a considerable amount of time and investment during fiscal 2020 separating the auto business from the VTS segment. This was a necessary investment required to allow us to operate automotive separately and ultimately exit this line of business. In January and March, we actively engaged with potential strategic buyers of this business and received multiple indications of interest. However, as we entered the March timeframe and the COVID-19 pandemic moved into Europe, we were forced to put the process on hold due to: first; travel restrictions, and then due to global lockdowns. The process currently remains on hold but we’re staying in contact with all interested parties and are confident that we will reinitiate the process as soon as possible taking into account the current international travel restrictions. Our objectives with regard to the automotive business have not changed. We will run the separated business segment to optimize earnings and cash flow, maximize cash value by divesting most valuable assets, and exit the remaining business in an orderly fashion to minimize cash outlay and customer disruption. The remainder of our VTS segment has been renamed heavy-duty equipment or HDE and will include sales to commercial vehicle and off-highway customers, which will also be reported as a separate business segment. As I have discussed in the past, we believe that heavy-duty markets, especially truck, agricultural and construction equipment have fundamentally different market dynamics. Although this process has taken longer than originally anticipated, we firmly believe this is a right long-term solution for Modine and our shareholders. While we evaluate all alternatives for our auto business, we will focus on reducing costs and limiting capital investments in order to reallocate capital to other markets and growth opportunities. Now turning to our fourth quarter segment results, please turn to Page 5. Building HVAC sales were down 2% in the fourth quarter, primarily driven by lower air conditioning sales in the UK, partially offset by higher sales of school ventilation heating products in North America. Despite this drop in sales, operating income increased substantially from the prior year, primarily due to improved pricing and lower material costs. The Building HVAC segment has clearly been a bright spot for this year. For the full fiscal year, sales increased 4% and operating income was up $9.5 million or 35% compared to the prior year, driven primarily by strong sales of school ventilation and heating products in a North American market. This is a tremendous performance from this segment, and we’re working hard to drive continued growth in the future. As I mentioned last quarter, we have announced a new, single-focused approach to the data center market by combining the resources and capabilities of our Building HVAC and CIS teams. This new structure has led to some exciting wins with existing European customers primarily in the co-location arena. Another goal of this effort is to assess the North American data center market. We have commissioned a third-party study focused on understanding the needs of data center operators and specifiers along with the product trends and buying preferences in order to develop a roadmap and a business case we’re expanding into this market. We’re utilizing the talents of our UK team to build relationships with new and existing customers in this rapidly growing end market. The other aspect of this plan is to industrialize new data center specific products in the U.S. We currently manufacture these products in the UK and are making significant progress to our goal of being able to build units in the U.S. by the end of this calendar year. This is a key component of our growth strategy and I’m pleased with the progress we’ve made despite the current environment. Based on a weekly changes and limited customer visibility, we’re not providing guidance this time. However, I can share a current outlook on certain key end markets. Again, I want to reiterate this can change almost daily, but we believe it’s important to share how we currently see the markets. We expect the commercial HVAC market to be flat to down slightly and the data center market to be up slightly. Based on our current order book, I think we have strong momentum in UK data center market and solid growth strategy for moving into the U.S. And North American heating market has been strong, but we are expecting that to be flat in fiscal 2021. Obviously, weather can have a significant impact beyond the general economic climate. Turning to Page 6. Sales in our CIS segment were significantly impacted by the onset of the pandemic in the fourth quarter, decreasing 15% from the prior year. Sales to data center customer down 25% from the prior year with the majority of that decline coming from one large customer. This is consistent with a decrease in Q3 and our expectations. This was also aligned with a temporary low in data center construction by our major customer in the segment. We expect these lower volumes to continue into fiscal 2021, for the strong recovery in fiscal 2022. Sales to our commercial HVAC and refrigeration end markets were down as well, primarily into the global crisis. Our CIS plants in China, Italy and Spain were temporary shutdown during the fourth quarter, but have subsequently reopened and are able to operate at normal production level. Plants in the U.S. have remained open but are operating at low – below normal capacity. Our CIS plant in Mexico was shut down by the government in late April and this is in the process of reopening but at a significantly reduced volume level. Even though, we were actively managing these operational challenges, we are also using the opportunity to move forward in our strategic plans for the segment. This includes continued focus on our coils pricing, our distribution model, SG&A cost reductions and consolidation of our manufacturing footprint. In fact, we’re in the process of consolidating manufacturing operations in China. We’ll be closing our plant in Zhongshan and consolidating production in our large coils of coolers plant in Wuxi. We’re able to accelerate the timing of this consolidation due to the lower production volumes caused by the pandemic. Although the CIS segment is being impacted by the current economic environment, we have also benefited from new opportunities. For example, our ability to rapidly respond to and deliver emergency replacement coils has allowed us to support healthcare facilities and laboratories that are in the frontline fighting the virus. In addition, we have seen significant increase in orders to customers that make sanitation systems. We’ll continue to look for new ways to provide the best possible solutions to our customers including continue to play a role in supporting those, combating COVID-19 virus. Again, it is very difficult for us to provide a market outlook, but in reviewing the data we have, we expect the commercial HVAC, refrigeration, industrial coils markets to be down in fiscal 2021. We anticipate that our first quarter will be down the most with some slight improvement in the back half of the year. With regard to data centers, as previously mentioned, we expect the market to be up slightly, we expect our revenues to be down compared to the prior year. As I mentioned, our data center sales and the CIS segment are highly concentrated with one customer and a pause in their construction schedule will result in our sales being down as compared to last year. However, we have successfully managed to grow our share of wallet with customer expanding sales with additional product offerings. Please turn to Page 7. As expected, we experienced a significant decline in sales across our vehicular markets during the fourth quarter. Sales for the VTS segment were down 18% from the prior year. Our key vehicular markets slowed significantly during the second half of fiscal 2020 and the decline accelerated with the onset of the COVID-19 pandemic in the fourth quarter. In Asia, sales decreased 25% from the prior year, primarily due to the impact of the coronavirus in January. During this time period, all of our manufacturing operations were temporarily shutdown but we reopened as quickly as possible in line with government regulations. Today, all of our Asian plants are open at or near normal capacity. The China off-highway market is a bright spot led by the strong recovery of the excavator market. The automotive market is also somewhat recovered, but it’s still operating at lower volumes than the prior year. Sales in Europe also dropped significantly during the fourth quarter, down 21% from the prior year across all major end markets. As pandemic moved into Europe our automotive, customers quickly shutdown their plants and we closed our plants as well in response. European automotive sales decreased 9% from the prior year and commercial vehicle sales were down 38% including the impact of program wind downs. All of our VTS plants in Europe have subsequently reopened, but most are operating at significantly reduced capacity. We will continue to increase production at our European VTS plants in line with customer demand. It is a similar story in the Americas region. Sales were down 13% from the prior year, the automotive plants were also closed in line with customer plant shutdowns and our main automotive plant in the U.S. was just reopened last week. Off-highway and commercial vehicle production continued through the quarter in Americas, but at reduced volumes. Automotive sales in the Americas region were up 7% from the prior year, while commercial vehicle sales were down 14% and our highway sales were down 19%. One of the significant issues we faced in the VTS segment is a very limited customer outlook. Our customers typically provide us with a good view of the projected volumes for the next two or three months that allows us to plan our production and build our forecast. Today we’re getting very limited information from our customers as economic conditions remain volatile and overall visibility remains temporary challenged. Our teams remain in daily contact with our customers and we continue to manage our manufacturing operations prudently and cautiously through this global crisis. Actions taken to improve reducing CapEx spending including program capital where possible, this is somewhat of a challenge as we often need to spend CapEx well in advance of program launches, so delaying purchases now could risk program deadlines in the future. So we are communicating with our customers and putting increased scrutiny on request for capital and postponing purchases where possible. We expect significant declines in the global automotive, and commercial, and off-highway markets. Similar to CIS, we expect the largest negative impact in our first fiscal quarter. Beyond that is extremely difficult to predict whether the recovery will be a V, U or hopefully not an L shape recovery. Geographically, we expect Europe and North America to be hit the hardest. With regards to Asia, we’re beginning to see some bright spots in the off-highway market with higher year-over-year excavator sales in China. While we’re navigating never before seen challenges, there are bright spots in the VTS segment, they are well worth noting. In addition to a strong demand for excavators, we are seeing in China, we’re actively bidding and winning heavy duty equipment business. We had a recent win in the large genset market and also expanded our reach into the E-Bus market with significant added content for battery cooling. I am pleased with the strategic work this team has done to reduce costs in light of demand challenges while staying focused on growing the business. With that I’d like to turnover to Mick for an overview of our consolidated financial results.
Mick Lucareli: Good morning everyone. Please turn to Slide 8. As expected, our fourth quarter results were impacted by multiple headwinds. Coming into the quarter, we anticipated that our end markets would remain soft and we pressed the head with savings initiatives launched during the third quarter. It then became apparent that the spread of COVID-19 would create significant disruptions. We responded with incremental cost recovery actions which allowed us to finish the year above our expectations in both adjusted operating income and adjusted earnings per share. Fourth quarter sales declined 84 million or 15%, largely from volume declines in the automotive, off-highway and commercial vehicle markets. We also experienced lower CIS sales due to our largest data center customer. Gross profit decreased by 18% or $75 million resulting in a gross margin of 15.8%. The team worked hard to achieve a 20% downside conversion during the quarter, which resulted from cost reductions earlier this year. In addition to the lower volume, CIS was impacted by a negative sales mix from the decline in data center volume. CIS and VTS margin declines were partially offset by a significantly higher gross margin in building HVAC. SG&A for the quarter was $55 million and lower than prior year by 14%. This decrease was primarily due to lower compensation related expenses, including incentive compensation, as well as cost savings initiatives across the entire organization. We have continued to aggressively control costs during downturns in our markets and the broader economy. Adjusted operating income of $25 million was down $10 million from the prior year. Again, this decline is a result of lower volumes in the VTS and CIS segments, partially offset by an improvement in building HVAC. In addition, lower SG&A helped to offset a portion of the negative impact of the volume declines. As usual, our appendix includes an itemized list of adjustments on a full reconciliation to our U.S. GAAP results. These adjustments totaled $19.2 million in the quarter comprised of three main areas. First, we incurred $8.6 million of asset impairment charges relating primarily to manufacturing facilities in Austria and Germany. Next, we had $5.5 million of planned restructuring expenses from headcount reductions, equipment transfers, and plant consolidation costs. Finally, we incurred $5 million of costs directly associated with the automotive separation, most of which were incurred earlier in the calendar year. This work is now mostly complete and ongoing expenses will be minimal. Any remaining costs would mainly relate to the completion of a sale transaction. Our adjusted income tax expense was $4.3 million or 26% in the quarter and adjusted earnings per share with $0.24. Turning to Slide 9. Cash flow and balance sheet protection were focal points as we adjusted to the pandemic. I’m pleased to report that we ended the year with $71 million of cash and net debt of $412 million, which is consistent with the end of the third quarter. Fourth quarter free cash flow was slightly negative at $1 million. For the full year, negative cash flow of $13 million was significantly impacted by cash spent on the automotive exit strategy. Throughout the year, we reviewed in great detail the required actions to support our strategy and completely separate the automotive business. Also during the year, we incurred approximately $17 million of cash restructuring costs, primarily related to the headcount reduction, including payments for actions accrued last year. The majority relates to plant and administrative restructuring in Europe with the balance for plant headcount reductions in Mexico and plant consolidation in China. Last week, we announced that we proactively amended our credit facilities in order to provide the maximum flexibility we may need to manage our liquidity through the COVID crisis. This was a big success which will benefit Modine and our shareholders as the markets adjust the economic ramifications of this pandemic. We ended the fiscal year with a leverage ratio of 2.4 which is well within our current covenant limits. We believe that we have sufficient liquidity but want to do ensure that we have plenty of leverage cushion to safely manage through the crisis. The amendment significantly raises our leverage ratio limit during the next two years, returning to the previous limit of 3.25 at the end of fiscal 2022. We also received some additional flexibility to execute on our automotive exit strategy. Overall, our balance sheet is in good shape and our liquidity is sufficient demands through this difficult period. In addition to the cash, we had nearly $118 million of undrawn capacity on our revolving credit facility for a total of $188 million of available liquidity. This does not include additional capacity and credit lines available to our foreign subsidiary. Last but not least, I want to point out that we have no major debt maturities in the near future. In total, we have a very manageable $16 million of mandatory repayment related to our long-term debt obligations in fiscal 2021. Now, let’s turn to Slide 10, for our fiscal 2021 outlook. Based on the uncertainty surrounding the global economic environment, we are not issuing guidance for fiscal 2021 at this time. We are currently getting rather limited information from our customer base. That said, we are using all information sources to track and project market trends. As Tom mentioned, we had a number of plant closures that extended into the first quarter of fiscal 2021. Although all of our plants are currently open, more than half of them are operating at well below normal capacity. Based on the current economic and order trends, we anticipate a significant impact on revenue and earnings in Q1. In fact, we expect that Q1 revenue could be down as much as 40% from the prior year.  Forecasting beyond Q1 is extremely difficult, but we currently believe that our markets will recover in the latter half of the fiscal year. With that, we anticipate positive free cash flow despite the lower revenue. As I wrap up, I want to assure everyone that we are taking all the necessary steps to protect our employees, customers, and shareholders. We are focused on maintaining a strong balance sheet, preserving cash, controlling discretionary spending, and reducing labor costs in order to limit the downside conversion on lower revenue and generating free cash flow. We will reevaluate issuing guidance during our first quarter earnings release. Tom, I’ll turn it back to you.
Tom Burke: Thanks, Mick. In conclusion, I would like to reiterate that we are taking all the necessary actions to protect our employees, our customers, and our shareholders. We’ve taken the swift and decisive action to significantly cut costs and preserve liquidity. In addition, the proactive amendments to our credit agreements ensure that we’ll be able to continue to access ample liquidity should this period of reduced customer demand be prolonged. We will also tightly manage our capital investments and we’ll work to continue towards our automotive exit strategy. I am confident that we will emerge stronger on the other side of this crisis. With that, we will take your questions.
Operator: [Operator Instructions] Your first question comes from Matt Summerville of D.A. Davidson. Your line is open.
Matt Summerville: Thanks. Good morning. Couple of questions. First now with the auto business sort of the carve-out officially complete at this point, are you able to give us a feel for what operating profit and EBITDA for that business would have looked like in fiscal 2019 and 2020? And then Mick, I was wondering if you’re able to give, even if there’s a somewhat wide range, what a reasonable free cash flow expectation might be beyond positive for fiscal 2021? Thank you.
Mike Lucareli: Yes, great. Hi, Matt. So, I’ll try and give you a little bit of color on the automotive, the VTS split between automotive, and then what we’ll call the heavy duty equipment portion, which would be the truck, primarily truck and off-highway. And if we look, pre-COVID and last year, we had hit really hard on the off-highway in the truck market, but our heavy duty equipment business had been running EBITDA margins right around 10% or so. And we see a lot of room there for improvement, so with some additional focus on plant operating metrics and productivity at the plant level, some manufacturing opportunities there. We do see opportunity to grow and improve the heavy-duty equipment side. Auto, same thing. If we look, call it, pre-COVID, the auto business was more of a mid-single-digit EBITDA business and consumed a lot more capital, our highest capital consuming business. So, it had been running more of in a negative cash flow manner as well versus the heavy-duty side, which is less capital intensive. What’s important to note too is within the auto business, and Tom has talked about this in the past, there’s two thirds or so of that business that is engine cooling, liquid cooling business that’s been on a high growth path that we’ve seen some quarters in the last few years tied to emissions and fuel economy and EV that has had good EBITDA margin. I would say 10% plus.  The other third is our legacy air cool business. I think front-end module, condenser that has been very challenged and has been operating more in a negative EBITDA level. And when we go back to the beginning, when we decided to exit the auto business, the original perimeter was to exit the full piece and bundle both together as we decided to come back out and remarket the business and feedback from buyers. What we’re focused on the sale process is that more attractive growth, higher-margin engine cooling business, and then we need to look at our strategic options to deemphasize and that air cooler side. Last, with regards to cash flow next year, really, really hard to predict. As you can imagine, I would say, Q1 we’re expecting clearly our June quarter to be a negative cash flow. If the second half of the year improves as we’re looking at it and with some customer feedback, I think we’d be – I mentioned positive, but probably somewhere between zero and $20 million. Not a huge cash flow year, but we’re focused on making that a positive just to fully protect the balance sheet.
Matt Summerville: Thank you guys.
Mike Lucareli: Thank you.
Operator: Your next question comes from Mike Shlisky with Dougherty & Company. Your line is open.
Mike Shlisky: Good morning guys.
Tom Burke: Good morning.
Mike Lucareli: Good morning.
Mike Shlisky: I have a quick housekeeping question first on the restructuring costs. Could you break those down by segment? I didn’t skid into the release of the slides?
Mike Lucareli: Yes, sure, we can go through in the appendix we’ve got the restructuring basket for you. The first one on the $5 million of auto separation costs, those are at the corporate level. The impairment charges of $8.6 million, 99% of that, nearly all of that – actually all of that is in the VTS segment. Yes. And then the restructuring charges of $5.5 million are nearly all in the VTS segment as well. In fact, we also do it in the back by segment for you, Mike, if you want to go into any more detail there.
Mike Shlisky: I am sorry, I looked for it. I didn’t see it. I’ll have to look at that again. I apologize for that.
Mike Lucareli: Yes. No problem.
Mike Shlisky: I saw the numbers, but not the amounts by segment and a little comment there. I’ll dig into it and I will follow-up off-line, if I have to. I wanted to also ask secondly, I wasn’t sure, I wanted to get some clarity on your comments on the data center business. In the final slide here, it looks like you’re saying that will be an up industry for the quarter and for the full year, but then also some of your comments on it kind of sounded like maybe the Modine business might be a little bit challenged. Do you think it’s going to be underperforming the kind of broader market this year or did I not hear that comment correctly?
Mike Lucareli: Well, no, this is a great question to clarify. Obviously, really the biggest customer we have right now is in the CIS segment with the customer that the -- large customer we have contracts with, and they have a down year this year. They’ve been projecting that for a while. So, that drop in sales in CIS of – what is it, 22 million, I think in that quarter for CIS quarter-over-quarter. I think about half of that is due to one data center customer. So, we’ve had – that’s kind of put it, overall, the data center sales drop a little more magnified. In the UK, we were very much pleased with the order book that’s coming in is strong and growing. So, we’re overall very, very bullish on a data center market, just kind of having an explanation of this count this fiscal year for the one customer in North America.
Mike Shlisky: So, just kind of follow-up there. The outlook for the industry is positive. Do you think that’s because of easy cost in the previous year? Or are there things due to the shutdown, work from home, higher e-commerce sales that’s more driving that?
Tom Burke: Yes. I think we’re seeing definitely an increase in demand, especially in the co-location piece in UK and Europe driven by a lot of this work from home technology, Microsoft and others have been very aggressive. In that, we’re supplying support through co-location companies for that growth, and that order book is really filling up well in the UK. The pause in North America was one specific customer who’s been projecting this build out of capacity of being on pause, but coming back strong in the next calendar year, our fiscal year 2022. So yes, we see all the indications being green from a standpoint of data center business we’re focused with our strategy now in North America expansion, as I mentioned in my comments. And we’re really – our intention is to have a good portion of our content capability in North America by the end of the calendar year, leveraging the capability of our CIS segment with the focus of a single base in the markets. And that we put together between billing HVAC and CIS, which is really paying off, leveraging the relationships, the product strategy, the technology to bring that capability to North America to the large addressable market here. So again, all things are looking very positive from a strategic growth strategy to build up that good market dynamic.
Mike Shlisky: That’s great color. Thank you. And then turning to the debt covenant or the debt restructuring that you guys did. I kind of want to get a sense to your kind of motivations for getting that done. At some point during the last few months, as you sit down and look at the next 12 month period or next 24 month period and say, yes, we’re going to definitely trip our covenants basically to get this fixed up. Did you do it because maybe you thought you’re going to be close to tripping? Or was this all about kind of taking away any kind of doubt in a worst case scenario?
Mick Lucareli: Yes, I think majority of the decision Mike is based on being overly conservative. And as we just covered, we finished the year at 2.4x and our current – our previous leverage limit was 3.25x. When the pandemic was kicking in really, really hard, and we saw April a big chunk of our plant shut down. We were doing a lot of sensitivity analysis and really the way we approached it was we wanted to model all the potential scenarios. And one of the things we felt strongly about was we didn’t want to wait and get into a situation where – and I think we’re seeing it now talking to the banks where they’re just inundated looking – with companies looking for amendments and new liquidity. So majority of it was not out of a necessity and a forecast that so we have to run to the banks, but not knowing how this year would shake out. We want to just make sure we got out in front of it and before there’s a long line with the banks to deal with these issues.
Mike Shlisky: Got it. Makes sense. Mick, Tom, thank you so much.
Tom Burke: Thank you, Mike.
Operator: Your next question comes from Joe Mondillo of Sidoti & Company. Your line is open.
Joe Mondillo: Hi, everyone. Good morning.
Tom Burke: Good morning.
Joe Mondillo: First, just to follow up on the CIS data center customer, is the downturn in fiscal 2021 that you foresee at this point in time. Is it still sort of the same expectations as they were before? Or has it changed at all? Is it further down? Not as down as much?
Tom Burke: No. It is exactly what we said before, so no change. It’s going to be what we projected last quarter, like last couple quarters, because it’s been well released by the customer to us that this was going to be a year that was going to be down, especially in North America, as far as build out and so no changes there. And then the expectation is for their build out schedules to increase and that’s been consistent message from them as well. So what we’re really building on that is bringing that UK based technology to the North America market to help build that out and have that capability here to supply global customers that have opportunities in North America. So we’re really as a big press for growth in this market. Again, we see a very strong opportunity for growth that we have the right to go and participate in.
Joe Mondillo: Okay. And how much does refrigeration make up of CIS?
Tom Burke: That would – if I look at inside of…
Mick Lucareli: Refrigeration is about a quarter of it.
Tom Burke: Yes.
Joe Mondillo: Okay. At the BHVAC segment your sort of outlook little better than I think some of the bigger peers have talked about. Is that a case in point of maybe some of these bigger peers reporting a month ago and just not having as much visibility as you guys have at this point in time? Or is it maybe something Modine specific that you’re just seeing maybe a little better than market – market expectation?
Tom Burke: Yes. I mean, I think we have some uniqueness in our portfolio, a very strong heating business that is, a lot replacement. So that is pretty stable. So we project that to be flat versus maybe some of the down pressures that have been seen on some of the residential providers of systems. And again, our ventilation systems are growing because of – kind of coming off of a small share and projecting to larger win opportunities. So I think, our dynamics, where we’re set up in a portfolio versus a market are low position and with the data center growth on top of that, we think that that really adds to a stronger position overall.
Mick Lucareli: And sometimes with some of the market data we get, we have to filter through, we get questions on that can be heavily impacted on the residential consumer side. So obviously, HVAC is a huge industry. We just only break it down. We have a real large – majority of our business on the commercial side. So that can be a little bit different. And then even like within refrigeration, we’ve got some large customers on transport, refrigeration, RV. And we’ve seen the RV market kind of go all the way from large downturns in this crisis to now. So maybe hope of people will travel more and want to do more of that via RV. So probably within the numbers is a little bit more Modine specific.
Joe Mondillo: Okay. And the margin at that segment expanded pretty significantly year-over-year, was that a case in point of the year-over-year comp just being pretty easy? Or what was the bigger – what was the big driver there?
Tom Burke: Well, I think we said, number one, we were pass-through pricing in a pretty strong rate, which is the reason why we really enjoy that market. And then secondly, we have some great material pricing that was an advantaging us. And I think that just the mix of way that the business came through. So we had a large ventilation school of business. This was past year record for us. And that contributed well along with the heating season. And again, the mix of business in the UK really building up with – I would say, data center business unless comfort cooling, which again, is a better mix for us. So I think this is good dynamics overall in Building HVAC segment.
Joe Mondillo: All right. And then on the cost reductions, I assume a majority of that set the VTS segment. Is there any way you can help us think about decremental margins going forward and how the volume sort of effects your margins?
Mick Lucareli: Yes. This is Mick. I think so clearly, through the most challenged in the upcoming year will be the VTS side, auto and HDE. And also, as Tom mentioned, CIS a little bit on the market side, but also then on top of its one customer, both of those have in a norm – we look at a gross margin level and then SG&A separate. Most of those would be downside decremental conversion rates at 25% to 30%. With all of the plant cost reduction work, we’re doing this fiscal year. We’re trying to target the decremental gross margins in the 20%, 25% range. So that’ll help a little bit. And then SG&A wise, right now, we’re running and trying to target about a 10% or so SG&A reduction.
Tom Burke: Okay. And I would add on that, Mick. Our procurement efficiency is also really picking up weld-off – also offset and help the decremental effects, so really pleased with it.
Joe Mondillo: Okay. I guess just lastly the interest rate on the new amended investment agreement.
Mick Lucareli: Yes. So versus last year and the prior year we had been between 4% and 4.5% weighted average interest rate. And this year, probably about 3.9%, 4%.
Joe Mondillo: Well, even with the amendments, it’s going to be lower, actually.
Mick Lucareli: Correct. Two things – two or three things, one is, if you recall last quarter, we refinanced our long-term loan, so that’s part of the year-over-year impact. And then secondly, one of the best parts about the current amendment is we really don’t see a higher interest rates, unless we move into the higher leverage ratios. So there was a little bit of movement on some other things between spreads and LIBOR. But that was immaterial. We really won’t pay more unless our leverage ratios increased plus than we’ve the long-term notes. So right around, say 3.9% to 4% as good blended rate.
Joe Mondillo: Okay. Perfect. Well, thanks for taking my questions. I appreciate it.
Operator: Your next question comes from David Leiker of Baird. Your line is open.
David Leiker: Good morning, everyone. A couple of things, on the automotive side of the business from some of the suppliers, we heard that some of the assembly plants were still taking shipments of products the last two weeks of March, despite there being no production. Just kind of stockpiling inventory for restart the juice, see any of that on the automotive side of your business.
Tom Burke: I don’t know to answer your question. They know that we stayed real laser-focused, we can get back to you on that David, but I’m not sure, can’t get off top of my head.
David Leiker: Okay. And then there’s pretty good news flow on where the auto industry is, in terms of coming up and the choppiness on you all in that. The truck side is a little bit more opaque. Is there anything you can share there in terms what the – when the volumes might start to ramp back up there, obviously, there’s inventory in the channel and the order rates aren’t all that good, but any insights on that across the…
Tom Burke: No, it’s really a frustrating, typically, between staying close to customers and for instance, last – the third quarter, we’re out with most of our customers meetings and they were giving us this projection of what the down cycle is going to be, modeling it, and obviously, there’s plenty of pictures of seeing 20% down. It was kind of the common theme. And right now, they’ve just have communication on what they see is just bottled up. So we’re really relying on third-party right now to kind of get the best predictions. But, both on commercial vehicle and off-highway, we’re not getting much, even though, we’re in constant contact trying to pull out what they see as far as ramping back up there. They’re holding that pretty tight right now. So that’s why we’re kind of cooling the fourth quarter or first quarter projections is pretty – being pretty challenging and kind of assuming worst case. And then we’ll see what happens is that brightens up through the rest of this quarter. Hopefully, we started getting better projections, but not much of a picture coming out of the customers at all.
David Leiker: Okay. Thanks. And then on the data center side, this has been a big topic in the last several quarters. We have some of the companies we follow are selling products and components into that data center channel, they’re all talking about very strong growth rates, so trying to understand why this? And then we understand that your business is concentrated with one player, but it seemed like that customer is losing share in the broader data center space, is there anything you can share? Any insights you can share on that?
Tom Burke: Yes, well, again, this has been a well forecasted production shift by the large customer we’re talking about for some time it has not varied. We’re in constant contact with them, great relationship all the way up and down as far as delivery and all the commercial elements and everything else. So they’re being very open with us in what they’re doing, I don’t know – what we’re seeing and again, I’m not really including this customer in this regard, but what we’re seeing is the co-location space, that’s the truly building out especially in Europe, we’re seeing a lot of what I would call the hyperscale people kind of building up the capacity of these co-location companies that are building out, the real estate companies that build out capacity and lease that capacity, we see some hyperscale people buying that straight up, flat up capacity of the whole building, for instance and that’s really dynamic happening in Europe. So I don’t know that – maybe that customer is participating that way and building scale right now. We’re not losing share by using co-location type thing and not making the capital investment themselves. But, what we do know is their projections to kick in capacity starting in the next calendar year is projected and we feel very positive and confident about that based on our communication. And the other thing that’s really important is that the co-location relationships that we build both with operators and specifiers is we want to leverage that because they are global and bring that to North America, so this focus on a single focus to the marketplace and combining the resources and talents of both the building HVAC and CIS, and leveraging our UK relationships, and bringing it to North America, we will have what we call a computer air handling unit being leveraging the capability of the CIS team and our Grenada, Mississippi plant. And we’re going through prototype bills right now and have that available for the market by the end of the year, which would really give us a leg into this addressable market for us, which is about $1 billion in North America and about $1 billion in Europe. So again, we’re winning our share with multiple customers in Europe right now and we want to bring that to North America to diversify the opportunity. And I’ll say even with the large customer, we are building shared wallet with them. We’re providing new products with them they don’t necessarily build out with their plans. And that’s what we call the dry cooler which is, when there’s water restrictions in certain areas that they want to dry cooler versus or idiomatic solution that can be more water efficient, so we picked up quite a bit of business with them on that one. So the relationship is good, they’re growing differently. I think right now, before they kick back in a traditional route, which we’re ready for that. And plus we’re bringing in a strategy, that can take advantage of the whole marketplace, both in North America and Europe that should really help us in the future to grow this business.
David Leiker: Okay. Thanks. And then lastly, two somewhat related questions; one is on the cost side, lot of companies are taking actions on the cost side to mitigate the cash outflow. And then on the other side of it, we’re seeing working capital disappear as the volumes come down. What do those two dynamics look like as volume starts to ramp up? How much of that cost reduction is temporary versus permanent that will see benefits in the future. And how much of that working capital comes back, two quarters, three quarters, four quarters from now as volumes ramp back up?
Mick Lucareli: Yes. So David, if I understand your question, right, we run pretty low working capital and as a company of 10% or so during this period first fiscal quarter, it’ll be a source of funds, right, there’ll be a decline. We think of it as it’s going to – it will come back. There aren’t areas really that I see is permanent working capital reductions. I would say last year with all the automotive stuff going on, separation and moves, we ended – we headed into the crisis a little heavy on inventory and it’s been hard to work-off inventory while customers were shutdown. So I see some maybe permanent opportunity as things improve to actually lean out inventory a little bit, which would be positive. And then the biggest source of cash savings for us besides the fluctuation of working capital would be the teams worked really hard to flex direct labor. And every country around the world has got different programs and incentives and reimbursements. And then Tom, covered from an SG&A fixed cost rate. Those – obviously those are temporary, salary reductions, furloughs are temporary in nature.
David Leiker: Okay, great. Thank you.
Tom Burke: Thank you.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Kathy Power.
Kathy Powers: Thank you before wrapping up, I’d like to point out that an add-back adjustment by segment is included in the appendix to the slide deck. Thank you for joining us this morning. A replay of this call will be available through our website in about two hours. We hope that you have a great day.
Operator: This concludes today’s conference call. You may now disconnect.